Operator: Greetings, and welcome to Blonder Tongue Laboratories 2016 Second Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Mr. Bob Palle, CEO. Thank you. You may begin. 
Robert Palle: Good morning, everyone. Welcome to Blonder Tongue's Second Quarter 2016 Financial Reporting Teleconference. Before we begin this morning with any details of performance, I'd like to preface my remarks and those made by other Blonder Tongue representatives who may be speaking today by reminding you that we will be discussing certain subjects which will contain forward-looking statements, including management's view of our prospects and the evolving trends in the marketplace. As you know, the future is impossible to predict, and so I caution you that actual results may differ from those that may be projected in our comments this morning. I would ask you that you refer to our prior SEC filings, our Form 10-K for the year 2015, our Form 10-Qs from prior quarters for additional information concerning factors that could cause actual results to differ from the information discussed this morning.
 With me today are Eric Skolnik, Blonder Tongue's Chief Financial Officer; and Steve Shea, Chairman of the Board. All of us will be available to answer any questions you may have following our presentations.
 First, the essence of the press release comments bear repeating. We are reasonably pleased with the performance for both the second quarter and the first 6 months of 2016. We achieved modest sales increases over the same periods for 2015. Those increases were directly attributable to a major retailer systems upgrade and increased sales of both digital video headend products and DOCSIS-based data delivery products. Analog product sales continue to decline, as we previously predicted, as most systems in the market we serve have retired their analog-based solutions in favor of digital signal-based solutions. While we continue to believe that sales will remain flat through 2016, we are actively working on a number of significant opportunities that, if successful, should provide a lift in sales in 2017. For the remainder of 2016, we are focused on performing at a level that allows us to achieve positive EBITDA for the calendar year, refinancing the revolver and term loan with a new lender and completing the development of the new products that will provide the projected sales increase in 2017.
 Now I'd like to turn the call over to Eric Skolnik, the company's Chief Financial Officer. And following Eric, we will have an open question-and-answer session. Eric? 
Eric Skolnik: Thank you, Bob. Net sales increased $399,000 or 7.6% to $5,682,000 for the second quarter of 2016 from $5,283,000 from the comparable period in 2015. Net income or loss for the 3 months ended June 30, 2016, was $73,000 of income or a $0.01 income per share in 2016 compared to a loss of $1,262,000 or a loss of $0.20 per share for the comparable period in 2015.
 The increase in net sales is primarily attributed to an increase in sales of digital video headend products and data products, offset by a decrease in sales of analog video headend products and contract-manufactured products. Sales of digital video headend products were $2,835,000 and $2,396,000; data products were $518,000 and $120,000; analog video headend products were $653,000 and $873,000; and contract-manufactured products were $293,000 and $526,000 in the second 3 months of 2016 and 2015, respectively.
 For the 6-month period ended June 30, net sales increased $1,600,000 or 16% to $11,625,000 in 2016 from $10,025,000 in 2015. The net loss for the 6 months ended June 30, 2016, was $215,000 or $0.03 per share compared to a loss of $2,677,000 or $0.43 loss per share for the comparable period in 2015.
 The increase in net sales is primary attributed to an increase in sales of digital video headend products and data products, offset by a decrease in sales of analog video headend products and contract-manufactured products. Sales of digital video headend products were $6,126,000 and $4,505,000; data products were $1,277,000 and $185,000; analog video headend products were $1,230,000 and $1,913,000; and contract-manufactured products were $529,000 and $697,000 in the first 6 months of 2016 and 2015, respectively.
 Now I'd like to turn the call over to our question-and-answer session. 
Operator: [Operator Instructions] Our first question comes from the line of Richard Todaro from Todaro Capital. 
Richard Todaro: Just curious on the refinancing, how you feel about the timing of that or the ability to do that. 
Eric Skolnik: Well, we're still working it, obviously, and it's a work in progress at this point. So as soon as we have anything to report, we'll be sure to report to the market. 
Richard Todaro: I know some of the officers had put up some capital to lend against. I just pulled up the release. I haven't looked at the balance sheet. Where are you guys at on that? 
Eric Skolnik: A total of $500,000 has been put into the company. However, $200,000 of the $500,000 has not been spent. And we have an additional $250,000 that we could draw against it. So it's basically $450,000 that we have to spend. 
Richard Todaro: Okay. And then you mentioned potential contracts in '17. I'm just curious, do you have any color around that? Any, more or less, confidence in that situation? 
Robert Palle: We are reasonably confident, but we're not going to add any color. We just think that it points our competitors to exactly where we're going and what we're doing. And we just... 
Richard Todaro: And it's with multiple customers, right? 
Robert Palle: It is with multiple customers. 
Operator: [Operator Instructions] Our next question comes from the line of Richard Greulich from REG Capital Advisors. 
Richard Greulich: What was the amount of revenues from -- in the quarter from the retail sales? 
Robert Palle: About $500,000. 
Richard Greulich: And was that finishing the contract for the other Blonder project? 
Robert Palle: It was. Yes, we announced that last call. The last call occurred after those sales were completed in April. So the last call was in May, I think, so... 
Richard Greulich: Okay. Let's see. I think that's -- oh, the sales opportunities that you've alluded to for next year, do those include ones that you had been working on, let's say, over the last 18 months? 
Robert Palle: Yes. 
Richard Greulich: That had been deferred, I guess? Okay. 
Operator: Our next question comes from the line of Ken Hemphill, a private investor. 
Kenneth Hemphill: Last name is Hemphill. I just wondered if there's going to be a dividend now. Just kidding. Listen, I read something in the notes, in the financials, about the change in accounting rules about reporting of sales. Can you put that in English, Eric? 
Eric Skolnik: Not sure what you're referring to now. 
Kenneth Hemphill: It sounds like there was some change -- in accelerating contracts into revenue or something. 
Eric Skolnik: Yes. It's not going -- if you read what it says here, we don't expect it to have a material impact on our financial statements. It's just an accounting rule change. That's all. 
Kenneth Hemphill: So it doesn't mean anything? 
Eric Skolnik: Correct. Sometimes, we have to place these accounting pronouncements in because we're required to. But a lot of times, these accounting pronouncements are not going to have any effect on us, but we need to still say that they're not going to have an effect on us. 
Kenneth Hemphill: How are the sales doing from the company you guys bought? 
Robert Palle: Are you talking about R.L. Drake? 
Kenneth Hemphill: Right. 
Robert Palle: They're holding. The -- they're certainly down from when we bought them. It's a little bit of a disappointment. But the last 2 years or so -- 18 months, 2 years, they're holding and introducing new products and shoring them up. So is that a satisfactory answer? 
Kenneth Hemphill: Yes. Does a company like yours or your competition ever come up with a new widget that is the latest and nobody else has it and you suddenly corner the market? Or is it just slow, slow, steady progress and little adjustments to the old stuff? 
Robert Palle: I think it's the latter. And the -- but you still have to be nimble, and you have to be able to respond and give the customers what they're wanting next. And they change their minds all the time, so we're just riding the bear, as Ballmer would say -- Steve Ballmer would say. 
Kenneth Hemphill: Is China still cranking away? 
Robert Palle: We do have a key contract manufacturing resource in China, and they're still cranking away, and the stuff they make is good. Our partner is VTech. We never lost any intellectual property there. There's no creepage, and they do what they say they're going to do most of the time. They do have to ride herd on them because it's just like any other contract manufacturer. Even if they're in the next town over, you have to -- you have to ride herd on the situation. 
Kenneth Hemphill: Do you ever have a shot at selling your products in China? 
Robert Palle: I think it's unlikely. 
Kenneth Hemphill: Why? 
Robert Palle: Well, the China market has their own players and their own manufacturing base. And the standards are all entirely different, so we'd have to spend the engineering to get them to be standards-compliant. And it's not something -- we think that's kind of outside our sphere of influence at this point. 
Kenneth Hemphill: Do they -- what if they decide to come to United States and compete with the United States? For an operator like you guys, what would happen? 
Robert Palle: Well, they do. China companies come to the United States and try to compete, and they have been before even China opened up. Taiwan and Japan and Korea were coming here to try to compete. And I just -- we think we have the ear of our customers, and we're not afraid of the offshore competition. 
Kenneth Hemphill: So they're not a threat in any way, shape or form? 
Robert Palle: I wouldn't say that. That's a pretty bold statement. They work at it every day, and so we work at it every day, and we try to stay ahead of them with relation... 
Kenneth Hemphill: Now with all this reduction in your expenses, has that had any effect on getting that product out the back door? 
Robert Palle: No. No. 
Kenneth Hemphill: All right. I guess, it sounds like -- my last question, I haven't always asked Eric this question. You only got 7 million shares out, and some days 600,000 shares are transferred. And I worked at a company for 20 years, and I always had a pulse -- a finger on a pulse as who is buying or selling our stock. You guys never seem to have a clue about that. 
Robert Palle: I think he's talking about the activity in the stocks lately. And would you be surprised if I said -- I don't know about Eric -- but if I said that we're as bewildered as you because it's got to be back and forth. Otherwise, if someone's accumulating, they have to file so -- something or a form something or another, and no one's filed. And it's not us. It's because we would have to file Form 4s, any of the personnel people, and we're just -- at least, I'm bewildered. I don't know. I have no idea. 
Kenneth Hemphill: My suspicion is it's always Peter because he was a big holder of the stock before. 
Robert Palle: No, he would have to file a 13, come on, right? And he'd had to add if he went over 5 points. I think he has to declare his intent, right, doesn't he? Come on. And we wouldn't be surprised if -- anyway, it doesn't matter. We think we would know if it was Peter Abrahamson. 
Operator: [Operator Instructions] Ladies and gentlemen, we have no further questions in queue at this time. I would like to turn the floor back over to management for closing comments. 
Robert Palle: Okay. Thank you very much for participating. Have a great day, a great weekend and a great year. Talk to you next call. 
Operator: Thank you. Ladies and gentlemen, this does concludes our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation, and have a wonderful day.